Operator: Good day, and welcome to Symantec's Second Quarter 2012 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Thank you. Good afternoon, and thank you for joining our call to discuss fiscal second quarter 2012 financial result. With me today are Enrique Salem, Symantec's President and CEO; and James Beer, Symantec's Executive Vice President and CFO. In a moment, I will turn the call over to Enrique. He will discuss Symantec's execution during the quarter, then James will highlight our financial results as well as discuss our guidance assumptions as outlined in the press release. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website. A copy of today's press release and supplemental financial information are posted on our website. And a copy of today's prepared remarks will be available on the website shortly after the call is completed. Before we begin, I'd like to remind you that we will review our financial results focusing on year-over-year constant currency growth rates, unless otherwise stated. Net income, EPS and sequential growth rates are based on as-reported results. For the September 2011 quarter, the actual weighted average exchange rate was $1.41 per euro, and the end-of-period rate was $1.34 per euro compared to our guided rate of $1.43 per euro. For the September 2010 quarter, the actual weighted average rate was $1.30 per euro, and the end-of-period rate was $1.38 per euro. We've included a summary of the year-over-year constant currency and actual growth rates in our press release tables and in our supplemental information, which can be accessed on the Investor Relations website. Some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, cash flow from operations, amortization of acquisition-related intangibles and stock-based compensation for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties and may cause actual results to differ materially from those set forth in the statement. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statement. In addition to reporting financial results in accordance with generally accepted accounting principles or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on our website. And now, I'd like to introduce our CEO, Mr. Enrique Salem.
Enrique T. Salem: Thank you, Helen, and good afternoon, everyone. For the fifth quarter in a row, the team executed very well, delivering solid September quarter results. We generated record September revenue and deferred revenue. Performance was balanced across our business segments and geographies. Results were largely driven by strength in enterprise security, backup and Consumer. The VeriSign authentication business generated strong growth for the fifth consecutive quarter. In addition, the Clearwell acquisition completed its first full quarter, posting its largest bookings quarter ever and exceeding expectations. Now let's take a closer look at some of the highlights from the quarter. Focused sales execution, coupled with industry-leading products, drove solid results in each region. Both the Americas and APJ regions grew double digits, and the growth in EMEA met expectations. Our public sector business generated record bookings this quarter as we closed several competitive wins. We are successfully cross-selling the product portfolio with 43% of our September quarter deals over $1 million, including sales from both enterprise product segments. Sales of Data Loss Prevention and backup solutions drove license revenue growth for the third consecutive quarter. Our enterprise security business generated another quarter of growth, reflecting improvement in the Endpoint Security business and strong performance for our Managed Security Services, Authentication and Data Loss Prevention businesses. Since the July launch of Symantec Endpoint Protection 12, the product has been successfully deployed on more than 1.3 million end points. I'm pleased with both the level of quality and effectiveness the solution provides for both virtual and physical environments. Early customer and partner feedback for both the enterprise and small business editions has been very positive. Recently, at our annual partner conference, several partners commented that the product is easy to deploy, and their customers have had 0 infections since installing the product due to SEP 12's new, innovative, reputation-based security technology. Partners serving the SMB segment in the U.S. and Canada are also excited about the ability to sell SEP.cloud for end customers' choice in deploying our security solutions. The Managed Security Services business had another quarter of strong double-digit revenue and bookings growth. Customers are increasingly relying on our security expertise to protect their environments and information as many struggle to meet the IT staffing needs they require to confidently respond to new and emerging threats. Our Data Loss Prevention business posted strong double-digit growth as information protection continues to be top of mind for corporations and governments around the world. We've been a leader in the Gartner Magic Quadrant for 6 years, making us the clear choice when CSOs [ph] evaluate DLP solutions. Further extending our leadership we'll be delivering the industry's first content aware DLP solution for tablets in early 2012. Our Authentication business had another strong quarter as we continue to reap the benefits of leveraging Symantec's distribution channel for SSL and user authentication solutions. The SSL install base grew double digits for the fifth consecutive quarter as we increased our lead in both the premium and value segments. In addition, our cloud-based user authentication solution, known as VIP, had its best quarter ever. VIP is cost effective for customers and delivers strong authentication service that's allowing us to win competitive deals. Our enterprise mobility strategy is focused on unifying identity, information and device-independent protection. We continue to make progress in helping our customers manage the increased adoption of smartphones, tablets and other mobile devices in the enterprise. We launched Symantec Mobile Management 7.1, which now extends native controls to activate, secure and manage Apple iOS devices. Symantec Mobile Management 7.1 is a natural extension to Symantec's client management suite. Moving on to our Information Management business, our backup solutions once again realized strong revenue growth as we continue to take share. Growth in this business is being driven by the ongoing adoption of our deduplication and virtualization capabilities. In addition, the V-Ray technology embedded in our backup products continues to differentiate us from the competition, allowing IT administrators increased visibility in the backup images across physical and virtual environments. Customer adoption of our NetBackup Appliances is growing as we have integrated backup, deduplication and the media server into a single offering, making it easier to deploy our solution and reduce total cost of ownership. Over the past 6 months, we sold more than twice as many appliances as compared to all of last year. In August, we expanded our appliances into the SMB segment. Our Backup Exec Appliance is the first SMB backup clients [ph] which integrated client and target data deduplication for protecting virtual and physical machines. And for those customers who prefer a backup solution in the cloud, we launched Backup Exec.cloud. This SaaS-based solution is ideal for small businesses or remote offices with easy-to-use online backup and recovery, allowing customers to automatically protect their information on desktops and servers. The Clearwell e-Discovery team, working with Symantec's Federal team, signed the largest deal in its history, driving their results above our original expectations in the September quarter. The team has done an outstanding job of integrating sales, operations and product development. As expected, Clearwell's e-Discovery solution complements our archiving capabilities. Customers value our ability to get relevant information to the right people while reducing the need for high-cost manual discovery. Our storage and availability management business met our expectations this quarter, driven by customer demand for centralized management across Linux, Windows and UNIX platforms. Customers transitioning to non-UNIX-based environments are realizing that managing multiple point tools is costly, inefficient and ineffective. Our solutions help customers deal with this challenge, allowing them to adopt new platforms while maintaining their service levels and reducing storage costs and operational complexity. Customers are increasingly adopting our ApplicationHA solution for managing critical applications in virtualized environments. Earlier this month, customers got a glimpse of how Symantec can help transform their IT infrastructure with the upcoming 6.0 release of Storage Foundation and Cluster Server. With this upcoming release, we expect to enable IT organizations to use their existing infrastructure to build and manage resilient private clouds that's in multiple virtualization technologies, operating systems and storage platforms. We expect this release to help us further stabilize this business and attract new customers while grappling with the challenge of having to do more with less. Our Consumer Business generated a solid quarter of high single-digit revenue growth, driven by our strong, multichannel relationships, improvements in renewal rates via our eStore and the quality of our products and services. The consumer team has delivered consistent growth for the past 3 years. We signed more than 20 new deals worldwide across OEMs, service providers and alternative channels. We had a competitive win at Samsung to provide Norton Internet Security and Norton Online Backup on their laptops and notebooks. We expanded our partnership with AOL to offer Norton Online Backup to a majority of their paid subscribers starting this fall. During the quarter, we continued to extend our security leadership with the release of the Norton 2012 products, which have once again set the industry bar for the best protection and performance. Our new products received PC Magazine Editors' Choice and CNET's top award. In total, Norton has won more than twice as many awards as our closest competitors combined. As part of the 2012 release, it is now possible for consumers to remotely manage their Norton products and subscriptions on multiple computers, all from a central location. In addition, we announced Norton One, which will be the industry's first personalized service that will protect consumers across multiple devices and platforms, including Windows, Mac and Android. This offering is expected to be available in the first half of 2012. As part of our Norton Everywhere initiative, we extended our mobile offerings with Norton Mobile Security Light, Norton Tablet Security and Norton Anti-Theft. Since the launch of Norton Mobile Security Light, the premium version of our mobile security solution, we've averaged 170,000 downloads per month. These new products seamlessly combine antitheft  features with powerful anti-malware capabilities, giving users improved protection in the event their phone is lost, stolen or compromised. In addition to these new mobile offerings, we have several products already in the market, including Norton Mobile Security, Norton DNS and Norton Online Family for Android and iOS. In conclusion, we have executed well against our FY '12 plan, delivering strong results in the first half of the year. We've been able to effectively integrate and grow our acquisitions consistently, and customers are embracing the value propositions we offer across our portfolio. And with that, I'll turn the call over to James for a detailed review of our financial results.
James Beer: Thank you, Enrique, and good afternoon. In the second quarter, we once again achieved solid results driven by growth in bookings across all geographies and business segments. Our consistent execution drove record September quarter revenue and deferred revenue, as well as double-digit earnings per share growth. GAAP revenue totaled $1.68 billion, an increase of 9% versus the September 2010 quarter. The U.S. dollar weakened 8% against the euro as compared to the year-ago period. Overall, foreign currency movements positively impacted revenue growth by 5 percentage points. License revenue grew 1% year-over-year, driven by strong performance in backup and Data Loss Prevention. Content, subscription and maintenance revenue continued to grow, up 11% year-over-year. Increasing subscription sales from our Consumer, Software-as-a-Service and Authentication businesses accounted for 39% of total revenue, up from 35% in the year-ago period. Non-GAAP net income of $295 million grew 11% and resulted in fully diluted non-GAAP earnings per share of $0.39, up 15% from the September 2010 period. The Consumer business delivered its 12th consecutive quarter of year-over-year growth, generating revenue of $531 million, up 9% year-over-year. If we exclude the impact of a 2010 onetime charge of $10 million, year-over-year revenue growth was 7%. Our new product and service offerings grew 52% and contributed 2 percentage points of revenue growth to the Consumer business. In the September quarter, OEM placement fees were higher than we originally forecast as our OEM partners increased their PC shipment volumes ahead of our expectations. In addition, it's important to note that OEM PC shipments are historically higher during the second half of our fiscal year with shipments and, therefore, OEM fees peaking in the December quarter. Turning now to the enterprise business. Solid sales execution continued again this quarter. We generated a total of 373 transactions valued at more than $300,000 each, up 17% year-over-year, and 56 transactions valued at more than $1 million, in line with our seasonal expectations. Of our deals valued at more than $300,000, 72% included multiple products. The Security and Compliance segment generated revenue of $483 million, up 22% year-over-year. This performance was driven by growth in our Endpoint Security business with the successful release of SEP 12 as well as the continued strength of Data Loss Prevention and Managed Security Services. The VeriSign authentication business continued to perform well, generating revenue of $89 million in the September quarter. The Storage and Server Management segment generated revenue of $605 million, an increase of 4% as compared to the September 2010 quarter. Revenue from the Information Management business, which includes our backup and archiving offerings, increased 11% year-over-year, driven by our differentiated deduplication and virtual machine protection features. In addition, we realized $20 million in revenue from our Clearwell acquisition, well above our expectations, due in part to a large federal deal that was not in our original forecast. Revenue from the storage and availability management business was down 7% for the quarter and down 2% for the first half of fiscal year 2012, in line with our expectations. Our services business generated revenue of $62 million as we continued to transition our consulting practice to specialized partners. Turning now to total company margins. Non-GAAP gross margin was 85.8% for the September 2011 quarter, up 10 basis points from the year-ago period. Non-GAAP operating margin was 25.5%, down 40 basis points compared to the September 2010 quarter, in line with our expectations. Cash flow from operating activities for the September quarter totaled $308 million. We generated operating cash flow of $811 million for the first half of fiscal 2012, an increase of 26% year-over-year. We exited the September quarter with $2.25 billion in cash, cash equivalents and short-term investments. During the quarter, we utilized $275 million to repurchase 16 million of our shares at an average price of $17.30. 32% of our cash balance was on shore in the U.S. as we exited the September quarter. GAAP deferred revenue at the end of September 2011 was $3.45 billion, up 11% year-over-year. In the month of September, the dollar appreciated 7% against the euro, negatively impacting our reported end-of-quarter deferred revenue balance. At our guided rate of $1.43 per euro, deferred revenue would have totaled approximately $3.5 billion, at the high end of our guided range. Now I'd like to spend a few minutes discussing our guidance for the December 2011 quarter. We are assuming an exchange rate of $1.37 per euro versus the weighted average rate of $1.35 and the end-of-period rate of $1.33 per euro in the December 2010 quarter. Our $1.37 per euro assumption reflects a 3% decrease from our weighted average rate of $1.41 for the September 2011 quarter. As a result, foreign currency movements would decrease estimates sequentially but provide a modest tailwind during the December quarter year-over-year. Our guidance assumes an effective tax rate of 28% and a common stock equivalent total for the quarter for approximately 745 million shares. Thus, for the December 2011 quarter, we expect GAAP revenue to be in the range of $1.7 billion to $1.715 billion as compared to revenue of $1.604 billion during the December 2010 quarter. We expect year-over-year revenue to be up 6% to 7% on an as-reported basis. 71%, or $1.2 billion, of our December quarter revenue is estimated to come from the balance sheet. The Clearwell business is expected to contribute between $13 million and $17 million to our December quarter revenue. GAAP earnings per share are estimated to be between $0.25 and $0.26 as compared to $0.17 in the year-ago period. Non-GAAP earnings per share are estimated to be between $0.40 and $0.41 as compared to $0.35 in the year-ago period, up 14% to 17% on an as-reported basis. As previously mentioned, we expect $0.005 of dilution as a result of our Clearwell acquisition during the quarter. In addition, U.S. GAAP accounting dictates that we no longer recognize quarterly losses from our joint venture now that the JV's cumulative losses exceed our original investments. The impact of this accounting requirement is reflected in our earnings per share guidance for the December quarter. GAAP deferred revenue is estimated to be between $3.685 billion and $3.705 billion compared to $3.408 billion at the end of December 2010. We are expecting deferred revenue to be up 8% to 9% on an as-reported basis. In conclusion, we are pleased with our execution and the solid performance across all of our geographies, segments and financial metrics. We will continue to focus on carefully managing our expenses while driving long-term growth and free cash flow generation. And now I'll turn it back over to Helen so we can start taking some of your questions
Helyn Corcos: Thank you, James. Gwen, will you please begin polling for questions?
Operator: [Operator Instructions]
Helyn Corcos: While the operator is polling for questions, I'd like to update you on a few upcoming events. We will be presenting at the UBS Conference on November 15 in New York, the Crédit Suisse Conference on November 29 in Phoenix and the NASDAQ Investor Program on December 7 in London. Lastly, we'll be reporting our fiscal third quarter results on January 25. For a complete list of our investor-related events, please visit the Events section of the Investor Relations website. Gwen, we're ready for our first question.
Operator: We'll take our first question from Brad Zelnick with Macquarie.
Brian Freed: Enrique, specifically on the Consumer business, it's great to see this kind of acceleration. I was hoping maybe you can give us a little bit more visibility to what it looks like on a bookings perspective. Just especially in light of what we're seeing with PC growth, the results are much stronger than we had expected. And also, if you can comment on the contribution from nontraditional products.
Enrique T. Salem: Yes, brad, thanks for the comments on the quarter. We're obviously pleased with our ability to consistently deliver against our guidance. What I was going to comment on was as you look at the PC business, the Consumer team just continues to deliver the best products on the market. I mean, it's evident from their ability to consistently win awards that people love what we're doing as far as the overall solution. And so what that's doing is it's allowing us to do a much better job of not only bringing in new customers over a range of channels, but it's also allowing us to get -- improving our renewal rates. A lot of that's being driven by the work we've done around the eStore where we can be much more effective at targeting the renewal with the appropriate offers, the appropriate price points and so forth. The other thing that's going on, and you heard in James' comments, that we did see good -- better shipments of OEM units into the call -- into the back-to-school/holiday season or the beginnings of the holiday season. And so my expectation is that while we'll continue to see pressure on the overall PC business given people diversifying to other nontraditional devices, we expect that this will be fairly common or as expected given the work that we've done. The other thing I did say in my comments was Janice's team has done a really good job of extending the number of new products that we're shipping on non-PC platforms: our Norton One initiative, some of the work we've done with Norton Everywhere and then some of the new mobile solutions. So we're getting nice distribution beyond our traditional PC products. You specifically asked how much of our revenue came from the non-PC products. And that is approximately 2% at this point of the total business that we're generating in Consumer.
James Beer: Well, 2 points of the growth...
Enrique T. Salem: Two points of the growth, that's right.
James Beer: Came from the traditional businesses.
Enrique T. Salem: Nontraditional.
James Beer: Yes, oh, the nontraditional businesses. That equates to about 4% or so of the overall consumer revenue.
Brad A. Zelnick: That's helpful color. If I could just ask a follow-up for James. James, just on margins, if I recall back to Financial Analyst Day, your guidance on margins at the time was for where the Street was at pre-Clearwell. So I think that was 26.3%. Looking at the first half, I think we're a little bit behind. And I haven't been able to run through all of your details on guidance, but I'm not sure that Q3 is much better than what we saw this quarter. I just want to know if your guidance from Financial Analyst Day still holds and if I've got that right.
James Beer: Well, you're right that at analyst day, we talked about 26.3%, and then the 0.2-point adjustment for Clearwell, bringing us down to 26.1%. So that's the discussion that we've had on operating margins. And we're continuing to go quarter-by-quarter to meet that goal.
Operator: And We'll take our next question from Walter Pritchard with Citi.
Danyaal Farooqui: It's Danyaal for Walter. Enrique, you mentioned that Europe met expectations. Could you give any more granular detail on country level?
Enrique T. Salem: Yes, I'll give you a couple of thoughts. We grew 11%, as reported, 2% on constant currency basis. And what we saw was Central Europe continued to perform well, and we did see a little bit of weakness in the Mediterranean countries in the September quarter.
Danyaal Farooqui: Anything on Europe? I mean, anything on U.K., sorry?
Enrique T. Salem: Yes, yes. So as far as the U.K., we performed as expected. It was probably a little better than it's been. We had seen about 1 year ago a little bit of weakness in the public sector in the U.K. but definitely seemed a little more stable with a bit of improvement.
Danyaal Farooqui: Got it, okay. And then just one more. How much are you benefiting from bringing eCommerce in-house? Is there a way you could kind of quantify it and -- or tell me or tell us how much of financial benefit you've had this quarter for Consumer?
Enrique T. Salem: At this point, we're -- the -- because the eCommerce platform has been in our business now for several years, we're not breaking out any other deltas for year-over-year or quarter-over-quarter. But clearly, it is making a difference because more of our business is coming from the eStore, I mean, where over 80% of our business now comes through electronically. And so a big driver of the improvements in a lot of the work that we do is in that much better targeting. So ultimately, it is a absolute benefit to the business.
James Beer: Yes, I think the investment has helped build our cash flow and margins over time.
Operator: And we'll go next to John DiFucci with JP Morgan.
John S. DiFucci: I had a question on the storage business, Enrique. This continues to put up I'll call it respectable results after a couple of years of sort of tough sledding. But after next quarter, the comps, at least year-over-year, get tougher. And I just wonder if you think you can continue to put up mid-single digits, sometimes in the high single-digit growth. If you can continue to do this with the storage business? Or is it something we should just expect to be sort of a lower-growth business?
Enrique T. Salem: You're right that, that business has continued to improve. I think our team there is doing an outstanding job. And what's happening, John, is that we've been able to diversify away from the UNIX platform where, as you remember, a lot of the business was on UNIX. Now we're seeing a lot more business coming through on Linux, Windows and HP-UX. As far as the other things that we're doing in that business that I think are meaningful are the work that we've done to help optimize VMware environments with technologies like ApplicationHA or AppHA. And so I do see good momentum and improvements there. As far as the growth rate, I'm going to stick with what we've said at analyst day, which is this is a business that will be relatively flat for us. Obviously, we're going to work hard to outperform that. And there's a lot of good signs in the business because, as I commented on the last several calls, we're seeing people who want to simplify their environments, and that means not having lots of point products and lots of point tools spread out across multiple data centers. And that's where we're really seeing some kind of return back to using the products from our SAMG business. So, so far, I'm pleased with the performance. It's -- team's doing an outstanding job, and I expect that to continue.
John S. DiFucci: If I might, just a quick follow-up on the Security Compliance business. Exclude -- if you exclude acquisitions, and by the way, your acquisitions that appear to be performing very well here, but if you exclude that, you're sort of growing that sort of in low single digits, it looks to us anyway is this -- in this business and realize that most of that is sort of desktop or Endpoint Protection for corporate, is that sort of what we should be expecting for that part of that business anyway?
James Beer: Well, for the Security and Compliance business, if you adjust for acquisitions and also in a constant-currency basis, that business unit grew at 5% year-over-year. And so, I mean, that's reflecting the progress that we're making in Endpoint Security. We're very pleased with how the SEP 12 release has come out of the gates, continued growth around Data Loss Prevention and Software-as-a-Service.
John S. DiFucci: I'm sorry, James. Did you say 5%?
James Beer: Yes, 5%. So that's adjusted for currency and acquisitions.
Enrique T. Salem: The other quick comment I'd kind of give you is we're very pleased with the launch of SEP 12. I mean, the feedback has been outstanding. I mean, 1.3 million end points have already been upgraded. The efficacy of the solution is proving to be just incredibly strong, and many of our customers are saying it was easy to deploy and they absolutely are seeing improvements in detection rates. So as you know, 75% of attacks now are hitting less than 50 machines. And so this new technology is really allowing customers to better protect their environments. And the feedback from both customers and partners has been better than I expected. And I think that also showed some improvements in the Security and Compliance segment.
John S. DiFucci: And we hear -- actually, well, I hear similar things in the field.
Operator: And we'll go next to Adam Holt with Morgan Stanley.
Adam H. Holt: Maybe just to follow up on the question of organic growth. James, what do you think your organic constant currency growth was in the quarter? And then maybe a longer-term question. As you think about the 3-year targets, and this may be for Enrique or James, that you gave at the analyst day, how do you bridge from where we are now to those 3-year targets? Is it about the environment getting a little bit better? Some of these acquisitions anniversary-ing? Maybe give us the bridge from here to there.
James Beer: Well, in terms of the organic constant currency growth rates, our revenue had been growing in the 3% to 4% type range. So that's a little bit faster than we have seen in the last 3 or 4 quarters. So a bit of a sequential improvement.
Enrique T. Salem: I think as we look forward, we're comfortable with where we set kind of 3-year growth rates at the 7% to 8% levels. And what really is driving that and will drive that is kind of 2 big thrusts. One is continuing to improve our core businesses. How do we continue to drive improvements in security with the great launch of products like SEP 12? But then also, the work we're doing with appliances around the backup business. So it's really about strengthening the core business. And then, it's executing against our vision and taking advantage of the opportunities around cloud computing, virtualization and mobility. I mean, some of the new technologies that we're showing both at our Vision conference in Europe that we just held  the beginning of the quarter -- beginning of this quarter where we showed people you can take a lot of that current infrastructure you have and re-tool it using our products to be more efficient, better utilized and create your own internal private cloud without having to procure lots of new equipment and software. And so we're seeing people -- especially in this what I'll say is folks trying to do a lot more with less, some of the solutions we're shipping or will be shipping with the 6.0 release will really help people do that. At this point, the combination of strengthening our core and taking advantage of some of these big trends that we've been talking about over the last several calls I think will enable us to achieve the growth rates. Now, obviously, we do expect that, that requires IT spending to continue at what I would say normal levels, and that's what'll make it possible.
Adam H. Holt: If I could just sneak in one follow-up. It looks like the buyback accelerated in the quarter. Is that something you think we should expect to see continue? Or are you thinking about doing other things with your capital position, which is obviously strong?
James Beer: So the buyback did accelerate during the September quarter, and that very much reflected our approach of trying to buy a little more back when we see particular dislocations in the marketplace as we did in August.
Operator: And we'll go next to Brent Thill with UBS.
Brent Thill: And just on Europe, can you just walk through what you think is happening? Obviously, I know it's been lagging the U.S. But -- and the U.S. has been recovering and Europe really hasn't recovered, and I'm just curious if there's something else going on in terms of the competitive landscape or something that you're seeing in terms of the deal structures that perhaps is holding Europe back still. Who would have thought that, that would have recovered a little bit better than it has?
Enrique T. Salem: What I would look at in Europe is I think we've been in an interesting kind of macro environment in Europe over the last 12 months. That's a little bit different than what we're seeing here in the U.S. And what I mean by that, Brent, is we -- a year ago, we were dealing with some weakness in the U.K., specifically in the public sector. Now as we look at it, given what's been happening in the Mediterranean countries, from Greece to Spain and Portugal, I think that that's continuing to put some level of pressure on the overall results coming out of Europe. Now the shining spot in all of this for us has consistently been the Central European area of Germany, Austria, Switzerland that continued to perform well for us. But we've seen different parts of Europe be weaker at different points. Operator?
Operator: And we'll go next to Aaron Schwartz with Jefferies.
Unknown Analyst -: This is Sonya [ph] on for Aaron. Just a quick question on the Storage Management business. So now that we've gotten through kind of the bulk of Sun-related declines, I guess can you comment a little bit on your expectations for the growth trajectory going forward?
Enrique T. Salem: I think as we -- I think you're right that we are at the tail end of the integration or the Sun-Oracle OEM contract. We're continuing to see that business stabilize. As we showed last quarter and this quarter, some of the other platforms beyond Sun Solaris are doing well for us. And I think the important point is that's stabilizing the overall segment. But then we're also seeing improvements in the backup business. We launched a new set of appliances that are doing very well for us. We're seeing a lot of demand for our approach of taking what used to be multiple point products, potentially some from us and some from others, and integrating it into one device where now you've got the backup software, the deduplication software and the media server all integrated into one appliance. And so that's also helping that business. We're coming up on a new product cycle with the backup products at the first half of next year. And so my expectation is that our backup business will continue to be the driver of growth in that overall segment.
Unknown Analyst -: Okay, that's helpful And then just quickly circling back on your points around SEP 12 or just Symantec Endpoint Protection 12. I guess can you speak a little bit to how meaningful you think the revenue opportunity is there? Is this more of a maintenance release where it seems like it'll be more related to seat expansion? Or is there a price increase associated with it as well?
Enrique T. Salem: Yes, it's definitely -- as we look at it, that -- it's a major release, and it integrates a number of new capabilities, most specifically the reputation-based technology that really is doing an outstanding job of detecting a lot of these very targeted threats. And also, because we worked very hard on the ease of deployment, and some of the early results are showing that where we have had previously a little bit of weakness in the SMB segment, I think this will be part of the improvement plan of tailoring products to serve that market segment well. So my expectation is that we'll continue to see improvements in the Security and Compliance segment where previously, the Endpoint Security business had been a bit of a drag on the overall business. The other thing that's important is we continue to see, post-Intel acquisition of McAfee, some disruption in their business and go-to-market. And that's helping us across the various segments now, and we expect that to continue.
Operator: And we'll go next to Kash Rangan with Merrill Lynch.
Kash G. Rangan: I was wondering if you could give us a little bit more color on public sector. I think you talked about some good business performance towards the end of the quarter. With -- given all the controversy and the scrutiny on IT budgets in that sector, what's your view as to how spending trends hold up for your businesses based on your conversations and what sales people are telling you about how your products are being budgeted for the public sector?
Enrique T. Salem: It was a -- Kash, it was a record quarter for us in the public sector. I think the team executed very well, and the Clearwell acquisition performed well against our expectations and some of the larger deals came out of the public sector. Obviously, people are trying to figure out what happened to the federal budget. As you know, we're in this kind of wait and see what budget gets allocated in the new fiscal year. But as I kind of look and talk to a lot of folks, senior folks in government, the federal budget will be anywhere from $76 billion to $80 billion. And cyber security has become a big priority for governments around the world, and so my expectation is that we'll continue to see demand for a number of our security products. But I still expect it to be a very significant budget. I haven't seen dramatic changes in that area, and we'll wait and see what happens with the budget. But at this point, I do believe that we'll continue to do well. And the question is now what ultimately happens with the focus on cyber security and some of the other priority areas.
Kash G. Rangan: Got it. And I don't know if you have time for one quick follow-up. But on the consumer security business, I was wondering if you could talk to conversion rates directionally?
Enrique T. Salem: Yes, if you look at what we've done with the eStore, it's pretty clear that our ability to really have a good understanding of what products they're using, what browsers, what price points they paid previously, is really enabling us to be much were effective at converting and getting more value per transaction of people coming to our online stores. So I would say that ultimately, we're getting benefits in 2 areas: better pricing or increases in pricing, and also better conversion rates.
Operator: And we'll go next to Phil Winslow with Crédit Suisse.
Dennis Simson: This is Dennis in for Phil Winslow. Can you describe the trends you saw in the sales force productivity in the quarter and how much room you think you have for improvement there?
Enrique T. Salem: Well, thanks for asking the question because it's pretty clear that our sales force execution has continued to improve consistently over the last 18 months. I think it's a credit to Bill Robins and his team and the work they've done to institute a much more disciplined sales process. What I would comment is, I think there's continued room for improvement. I think we can continue to drive efficiency. I think we can continue to be even better at cross-selling the whole portfolio. We're giving you a metric right now that talks about our ability to cross-sell and what's happening with the larger deals. 43% of the deals above $1 million contained products from both segments. I think that's just our sales team is much more focused and disciplined in how they look at the Symantec portfolio and how that matches to the things our customers are trying to do. So I expect there will be continued improvements in sales force effectiveness and productivity.
Dennis Simson: And can you describe maybe the trends that you saw? You commented on your traction with your backup products. If you can maybe expand there a little bit more, specifically in the SMB space?
Enrique T. Salem: With the backup product in particular?
Dennis Simson: Yes, in the SMB space.
Enrique T. Salem: Yes. So a number of things that we're doing is we're looking at what are all the capabilities that we need to deliver into the SMB space. Specifically, we've added 2 things, which are the new Backup Exec Appliance. It's early. Well, this was the first quarter at our partner event a couple of weeks ago. We showcased it, and there was genuine enthusiasm about our ability to deliver the Backup Exec Appliance, which will be targeted at the -- our mid-market/smaller-sized companies. I think the other thing that we're doing is clearly the Backup Exec.cloud or our cloud-based backup capabilities that will also allow us to better serve the SMB segment with the cloud-based offering. So my sense is the combination of Backup Exec.cloud and the new appliance are definitely going to help us there. And clearly, we're going to continue to work towards bundling both the security products with the backup products because IT buyers or smaller businesses, they want simpler. They want it easier. They don't want a lot of point products. And so ultimately, our ability to bring together the products from both our security and backup business will fit well with that segment.
Operator: And we'll go next to Steve Ashley with Robert W. Baird.
Steven M. Ashley: Great. I actually would like to just swing back to the SEP products and specifically the mid-market or small business SPS SEP product that was also released recently. Do you have any kind of early feedback on how that's being received? I don't know if it's too early to get Net Promoter Scores. Or also, if you might be doing anything different in the channel to try driving adoption at that level?
Enrique T. Salem: Yes. Well, the Net Promoter Scores for the new version of SEP, of SEP, have done very well both in the enterprise and SMB markets. The initial data is showing multiple points of improvement, and that really is a tribute to the great work the team has done. I am very encouraged by the partner feedback, and I'm sure you're starting to hear the same thing, that people believe this is just an outstanding product. And my expectation is that it will  bring partners back in because what partners are trying to do is they're trying to optimize their time. And if they can -- if it's easier to deploy and they don't have to go back and potentially have to clean up when some of these machines gets infected, that really is something that allows them to be more productive, more efficient and then generate more profit for the partner. As far as from a go-to-market perspective in the partner segment, we've done a number of different things. We continue to be very focused on specialization where we're trying to make sure that partners have the necessary certifications to make each implementation successful. And that's why you are seeing the improvements in the Net Promoter Score, because our partners are becoming back that much more effective at implementing the new products. And so we're very confident that the new products, combined with some of the work we've done in the new channel, will drive improvements in the small business segment.
Steven M. Ashley: And just quickly on the VeriSign authentication business, have you done anything there with respect to the go-to-market strategy to broaden out either the breadth of distribution or things that are -- anything new and different on the go-to-market there that's helping the success there?
Enrique T. Salem: Well, absolutely. The big difference is you now have got a much larger sales force around the world that is able to take the user authentication products to market. But the other more important thing is that we're able to combine it with a much richer portfolio, because we're able to bring in the extensions around encryption, the extensions around malware and improved management platform. And so ultimately, the combination of product breadth and a larger go-to-market or sales force capability is definitely driving improvement. Also, there have been some attention as a result of some of the issues that one of our major competitors faced with an attack. And so my sense is that, that combination is definitely having a positive impact on our user authentication business.
Operator: And we'll go next to Ed Maguire with CLSA. Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division Enrique or -- and James, you had mentioned that your OEM agreements had, I guess, higher costs upfront. Could you discuss what the competitive dynamics have been around some of those OEM agreements? And what do you expect going forward with any major renewals that might be coming up?
James Beer: Well, what I was referring to in my text was that our OEM fees actually came in higher during the September quarter than we were expecting would be the case 90 days prior, very much driven by the fact that the OEM partners shipped more PCs than, I think, everyone was expecting. So that effect added about half $0.005 worth of costs to the operating expense base. And the other point I was making in the text was that we would expect to see sequential increases between the September quarter and the December quarter in the total amount of OEM fees that we pay. So that would likely add something in the $0.01, $0.015 type realm. We'll see how we go with the OEM PC shipment volumes this quarter. Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division Great. And just a follow-up, if I may, on the Huawei-Symantec progress. I saw that you are making some moves in North America. We'd love an update on that.
Enrique T. Salem: Well, we're continuing to work on improving the overall product portfolio in that business across both the storage and security areas. And from a go-to-market perspective, kind of the next frontier for the joint venture is really getting traction in the U.S. The other part of that, as you know, we're in discussions around what's the best outcome for the joint venture. And so we're continuing down that path, working with Huawei to determine: is it something that we continue to manage jointly and drive towards an IPO? Or is there a potential different outcome? And so we're probably in the late innings of really having a determination. And I would hope that by the next call, the next earnings call, we'll have an opportunity to give you a more detailed update on where we are with that.
Operator: And we'll go next to Rob Owens with Pacific Crest Securities.
Rob D. Owens: Enrique, given that over half of your organic constant currency growth is still coming out of consumer and you've got potentially Windows 8 on the horizon at some point, what's some of the industry thinking right now? What's the feedback been from the OEM channels? They actually make a decent amount of their money off AV being onboarded by folks like yourselves?
Enrique T. Salem: Well, I think everybody is looking at Windows 8 and  what are the things Microsoft's trying to do. Obviously, their priority is really around thinking out how they stay relevant in a what I'll call the move to next-generation or other non-PC devices. And that's really the priority. Everything we've seen, that's the focus. Now clearly, Microsoft, like all the vendors, is always trying to think about how they make sure that their platform is secure. And the OEMs, as you say, a part of the profits that they make is the aftermarket products that they sell, security being one of them. And so they're working closely with us and with Microsoft to make sure that we still can deliver, sell security products on their traditional PC platforms. Obviously, it's still early, Rob. There's -- they've shown some of the things that they're going to do. But we expect to see some continuing changes in the approach and what they're going to do with Defender and other things. So we're all working together. We've got folks in Redmond as we speak talking about how our security continues to add a lot of value beyond anything that's being done in the operating system.
Rob D. Owens: Great. And then for James, what was the organic deferred revenue contribution from Clearwell?
James Beer: Clearwell, gosh that would have driven of the order of about $10 million to $15 million worth of additional deferred revenue, something of that nature.
Operator: And we'll go next to James Wesman with Raymond James.
James Wesman: It's James sitting in for Michael Turits. First question now. What is the VeriSign business growing pro forma x the remaining write-down?
James Beer: Well, the VeriSign business that we've seen growing in this past quarter at so mid to high single digits, so we're pleased with how the value-added items that Enrique was talking about on an earlier question, things like the additional malware scanning capabilities, the much enhanced management platform that we have integrated into the VeriSign SSL certificate sales, are getting traction in the marketplace.
James Wesman: Okay. And then one other question on the Consumer side. As you start selling into more emerging markets, though, what type of impact are you expecting on ASPs?
Enrique T. Salem: Well, clearly, the ASPs, there's more price sensitivity. And we've always used a number of approaches to emerging markets from some of the things we've done with our PC Tools brand to the work we're doing around some of the premium offerings where we can deliver a capability and then do some upselling. But clearly, there's more price sensitivity in the emerging markets, and we take that into account with the mix of products and price points.
Operator: We'll take our last question from Brian Freed with Wunderlich Securities.
Brian Freed: Can you guys give us a little bit more color around the scale and number of customers for your Norton Online Backup business? And maybe just some -- to the extent you can give some clarification as to what percentage of your consumer business you would attribute to that business?
Enrique T. Salem: So I'll give you -- the headline number is approximately 15 million, 1 5, 15 million people using our online backup capabilities. And what we continue to see is that business is driving good growth rates on top of a small base. We haven't broken out the specific online backup numbers, but when we talked about the 4% of the business coming from the nontraditional products is that one of the biggest drivers there, Brian, is the online backup business. But clearly, service is another thing. They're also contributing there. But ultimately, we are encouraged by the capabilities and the adoption of the online backup feature.
Operator: And that concludes our question-and-answer session. I'd like to turn the conference back over to Enrique Salem for closing remarks.
Enrique T. Salem: Thank you, operator. I'm pleased with the team's execution and solid results for the fifth consecutive quarter. We'll be focused on executing our key priorities for the remainder of the year. Thank you very much for joining us this afternoon, and I look forward to speaking with you again soon.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.